Operator: Ladies and gentlemen, thank you for standing by. I am Hailey, your Chorus Call operator. Welcome and thank you for joining the Turkcell Conference Call and live Webcast to present and discuss the Turkcell's First Quarter 2021 Financial Results Conference Call. All participants will be in a listen-only mode and the conference is being recorded. The presentation will be followed by a question-and-answer session.  At this time, I would now like to turn the conference over to Mr. Ali Serdar Yagci, Investor Relations and Corporate Finance Director. Mr. Yagci, you may now proceed.
Ali Serdar Yagci: Thank you, Hailey. Hello, everyone. Welcome to Turkcell's first quarter 2021 results call. Today's speakers are, our CEO, Mr. Murat Erkan; and our CFO, Mr. Osman Yilmaz. We have a brief presentation and afterwards we will be taking your questions. Before we start, I would like to kindly remind you to review the last page of this presentation for our Safe Harbor statement.
Murat Erkan: Thank you, Ali Serdar. Good morning and good afternoon. Thank you for joining us today. We had a strong start to year delivering robust financial results, despite the prevailing challenges of pandemic. This performance was possible due to our customer-centric strategy built on a diversified business model. This strategy has enabled the continuation of solid growth in total subscriber by 7,500, marking the highest level over the past three years. Our strong and fast network communities to seasonal and value offer have been instrumental in this success. Accordingly, we recorded 17.5% top-line growth, generating TRY7.8 billion consolidated revenue. EBITDA reached TRY3.3 billion on 17.7% growth, with a 42.2% EBITDA margin. Net income was TRY1.1 billion on 26.6% year-on-year growth. Overall, these results have confirmed our confidence in achieving our full year guidance levels. Next slide, let's have a look at our operational performance in the first quarter. On the mobile front, we gained a net 410,000 postpaid and 190,000 prepaid subscribers. Our postpaid customer base reached 22.4 million, reflecting 66% of total on a 3 point rise year-over-year. Some momentum in a net addition is a reflection of our commitment to strengthen our subscriber base. Our efforts to establish a customer-driven mentality throughout the company have played an important role in this performance. As such, our mobile churn rate was 1.8%, the lowest level of the past three years. In the fixed broadband segment, strong demand has continued under prevailing mobile limitations and remote working conditions. We recorded 50,000 fiber subscriber addition with our high speed and unlimited fiber internet offers, designed to meet the need for speed at home office. In addition, there were 23,000 net addition to our fixed-wireless access service Superbox this quarter. Further, we are pleased to see robust demand for our TV services, with the addition of net 49,000 IPTV customers. We now offer this service to 61 out of every 100 households, among our residential fiber customers. Blended Mobile ARPU rose to 49.9% -- sorry TRY49.9 on an 8.7% rise. We felt the negative effect of pandemic on the roaming revenue generation and are on the trend for additional data quota purchases. Despite this growth was driven by a larger postpaid subscriber base, higher data consumption and prices adjustments. Fiber residential ARPU growth was 8.8% to TRY74.3, mainly on demand for high-speed, as well as our price adjustment. Reflecting the rising trend in inflation, we expect to record double-digit ARPU growth next quarter.
Osman Yilmaz: Thank you very much, Murat. Now let's take a closer look into our financials. This was a strong quarter for our company, with a 17.5% growth we generated TRY7.8 billion in revenues. While the pandemic still poses few challenges, our diversified business model coupled with strong operational performance in our core telecom business, have been instrumental in this performance. Group EBITDA reached TRY3.3 billion on an 18% growth, indicating 42.2% EBITDA margin. On the back of robust operation profitability and prudent FX risk management, we generated TRY1.1 billion net income, it is 27% yearly growth. Overall, we are on track with these results towards our full year targets. Next slide, before I dive into our revenue breakdown, I would like to briefly explain the changes in our reporting under IFRS from Q1 onwards. First and foremost, we now report Techfin business as a new segment, reclassified from the segment called others. Techfin business include our consumer finance company, our payments services company and our Insurtech Company. By doing so, we aim to monitor the overall performance as a whole and separately, as the segment have different dynamics than our core business. Secondly, consumer operations of our subsidiary, which includes retail channel operations, smart devices management and consumer electronic sales through digital channels have been reclassified in the other segment from Turkcell Turkey. Other segment also comprises the non-group call center operations and our energy business. This presentation will enable us to crystallize the performances of our core telecom operations, and complimentary, relatively lower margin and growth businesses. I should highlight that these changes have no impact on our operating profit, bottom line or the cash flow statement. Next slide. Now some details on our revenue and EBITDA developments. This quarter, the increase in revenues by TRY1.2 billion, TRY700 million of it was from Turkcell Turkey. Larger subscriber base, rising data and digital services consumption and price adjustments were instrumental in Turkcell Turkey's performance.
Operator: Ladies and gentlemen, at this time we will begin the question-and-answer session.  And the first question is from the line of Ece Mandaci of Unlu Securities. Please go ahead.
Ece Mandaci: Hi, thank you very much for the presentation. And congratulations on the strong results. I have three questions. One is on the prospects regarding revenue growth in consumer segment going forward. Since the inflation trends have changed in Turkey, should it be -- would it be fair to assume a higher ARPU growth generation in the quarters ahead? This is my first question. Secondly, could you please, if it's possible give more information regarding the breakdown of digital service revenues? Is it fair to assume that now this application has a higher revenue share in overall? And thirdly, last week, there was the comments of the Chairman of ICTA regarding the 5G tender in 2022. Could you please also provide any comments about your view on the potential candidates going forward? Thank you very much.
Murat Erkan: Thank you, Ece. First of all, for the question regarding ARPU and higher ARPU, in the upcoming quarters, we aim to improve our ARPU growth to double-digit level. And we expected the inflation to decline towards the end of the year. We believe that the gap between our ARPU growth and inflation will be contracting. In a challenging macro environment with a high inflation and rising unemployment, we will be targeting a balanced revenue growth through ARPU increase and customer additions. Moreover, as part of our diversified business model, we will also focus on strategic focus areas, which will be supporting our top-line growth. Especially, I would like to insist on the first quarter is not apple-to-apple in terms of roaming, because last year, there was roaming revenue after the pandemic. This year, there is no roaming revenue, this also impact the ARPU growth level as well. Regarding the breakdown of digital service revenue, to be honest, the biggest share is TV business. So we have TV, music, Lifebox and BiP are driver of the revenue side, but the biggest share is in the TV side. Regarding 5G tender, so we don't have official roadmap announced by the regulation yet. And a couple of days ago the Deputy Minister of Transformation Infrastructure stated that, they are planning to hold a tender in 2022, and commercial services to be launched in 2023. On our side, we have been continuing our preparation for 5G for last couple of years. We have conducted tests through collaboration and network vendors and other people. We are seriously taking an active role in international organization setting the standards. We are focusing on different use cases of 5G, reaching out to as many vertical sector as possible, while maintaining local R&D focus. With this scope, the testing 5G heavily and real time this virtual reality cases 5G, live TV broadcasting and other tests are conducted. So, we believe that digitalization is vital for Turkey's sustainable economic growth. Going forward, we will continue to provide tests and best-in-class technology for this purpose. But still, it's not that clear for our side, so 2023  seems the service timeline. I hope, I answered all three questions.
Ece Mandaci: Thank you very much.
Operator: The next question is from the line of Ivan Kim of Xtellus Capital Partners. Please go ahead.
Ivan Kim: Hi, and good afternoon. Three questions may be for me too, please, quickly. Firstly, can you talk about the key NPS drivers for you? So, what are the reasons your guess is stronger than rivals and for the gap to increase even though you keep increasing prices? And then secondly, can you please talk about the fiber rollout plans? The plan for this year is clear. But longer-term, do you still aim to do sharing or your decision is pretty much to do it yourself now? And then finally, can you please talk about opportunities to monetize BiP, because it looks fairly kind of very good scale now. So probably, there is opportunities to get more revenue from there. Thank you.
Murat Erkan: So, first of all, for drivers for NPS, there are three areas. One of them are segmented customer-centric strategy. We focus our customer based on young, premium and woman and other loyalty services. So, customer appreciate our focus on the segmented side. Obviously, we invest a lot to our smart network. So we have widest, fastest, smartest network. So, this is appreciated by the customer. And also, our widest distribution network, I mean sales channel, we are not just selling products, we are giving services and supporting our customer to utilize technology. So, I believe all three led us on the NPS side. Regarding fiber rollout plans in longer-term, so for this year, we hope to see 500,000 homepass. Next three years, we would like to continue the 500,000 even more than that, next couple of years. And we see that, we have a demand-driven approach by regional focus in terms of capacity management. And as long as demand is there, we'll continue to invest in fiber. And the 500k is the minimum per year, next three years, I believe. Regarding third question, I couldn't catch the third. Could you repeat the third question?
Ivan Kim: Yeah, sure. Thank you for that, Murat. The third question was just the opportunity to monetize BiP, the messenger. Because for now, I believe there is now a ton of revenue coming from it. But now with a lot of connections that you saw in the first quarter, so maybe you can consider monetizing it more. Thank you.
Murat Erkan: Okay. Obviously, BiP, we have been investing in BiP, in terms of monetizing BiP. Our approach is a little bit different than the OTT players, other messaging platform, because we are utilizing telco capabilities into our infrastructure. So, in our BiP, with a different way of approach, we can monetize it through the voice on net, off net utilization with services on top of it. And obviously, we can convert it to our Paycell capabilities with BiP integration customer approach as well. So, I think we have number of cases to monetize the BiP. But, we are also looking for opportunities with the international operators for win market together. Since we know how to deal with telco approach, there are telcos around the world, who can utilize BiP as their instant messaging platform with a white label approach. Also, we are looking forward to -- take for sales to other operators, other potential stakeholders as well.
Ivan Kim: Thank you. They are actually integrating it for Paycell, that was the most promising. Thank you very much for your answers.
Operator:  And the next question comes from a line of Kayahan Demirak of AK Investment. Please go ahead.
Kayahan Demirak: Hi, thank you very much for the presentation. I just had a follow-up on the ARPU growth. Maybe few questions. On the postpaid ARPU, I mean, you had very strong net additions around the postpaid side for the past maybe more than a year, which is supported the blended ARPU growth, but it seems like this impact now is fading away. So, what I'm trying to understand is that how dilutive the new postpaid additions in terms of price compared to your average postpaid ARPU? So on a like-for-like basis, maybe is it possible to give a rough number for the postpaid ARPU growth, excluding the new additions? And also, to explain this trend, I mean, do you see some kind of transition to lower priced packages between your subscribers network? So, in essence from different ways, what I'm trying to understand the reasons behind the relatively weak growth in the postpaid ARPU. And also, as again follow-up this brings me to the inflationary pricing strategy. Now, there is a significant gap between the headline inflation and the ARPU growth, 8% versus 18%, 17%. So, I mean, how much do you -- this divergence to close? Also, are you basing your price increases based on your year-end inflation prices? Do you have any targets on that side that you can share? Thank you.
Murat Erkan: Kayahan, thank you very much. First of all, our postpaid ARPU is still impacted by the roaming revenue due to travel restrictions. Some of our revenue source like add-on data packages, costs in revenue, overuse charges and also impacted during the quarter. Moreover, as you know, we also focus on switching prepaid customers to postpaid subscription. While these switches have positive impact on the blended ARPU, they negatively impact the postpaid ARPU, as these subscribers firstly choose entry level postpaid packages. One of our strongest part is  we have ability to grow and set up to do higher packages. So strong positive acquisition also had an impact on postpaid ARPU performance as well. Our like-for-like postpaid ARPU growth was 8.4% in the first quarter. So, I think as for the comparison of our ARPU growth and inflation, we started the year by adjusting our price. Yet, we cannot see the full impact of those transactions immediately due to the contracted nature of our business. Furthermore, we also observed that people in Turkey now are more concerned regarding their purchasing power, as well as job security. Therefore, it's more difficult to make material price adjustment in this environment. On the other hand, due to the current macro environment in the first quarter, we saw a quick rise on the inflation side, which was beyond our expectation. All-in-all, these factor widened the gap between our ARPU growth and inflation in the first quarter. But, we see that we're going to recover this growth level coming quarters. I'm not sure that we can meet that like 17% level, but as you know, we would like to come as close as possible.
Kayahan Demirak: Thank you, understood. And just to make some remark on that. I mean, inflation is the one side of the equation. Also, how do you think of the FX side? I mean, the other substantial CapEx needs on the USD front, which part of it related with your mobile business. Also, the long-term even FX. So, I mean given the pricing side, how do you take the FX side into account? Or are you considering that cost pressure coming from that side? Thank you.
Murat Erkan: Okay. Thank you very much. The FX is very important factor, especially in the telco business. But, we were well-prepared actually living in Turkey and operate in Turkey make us quite cautious on the FX side. So, our FX part is well-hedged at this moment, plus we see that FX might impact our investment, so we make our investment earlier than the plan. So, this also helped us to manage this FX situation. So far, the FX is under control. We don't hope that FX will increase dramatically. So, this is in our guidance and in our plan, the existing situation on the FX side.
Kayahan Demirak: Thank you. And just one final quick question. About the asset monetization, you were hoping to see some development on the Superonline site this year, that still stands?
Murat Erkan: Yeah, it is not just Superonline, but Superonline is also one of the assets that we would like to monetize. But, because as we share in our 2020 year-end conference call, we continuously evaluate asset in our business portfolio for strategic action, in order to maximize value for our shareholders. Among those assets, Superonline stands out as the best candidate for an IPO, given the size and growth potential. At this point, we are at the exploratory phase regarding a potential IPO. However, we should note that market conditions are quite critical for an IPO decision. Currently, we observe strong demand to IPOs in Turkish market, yet the demand is mainly coming from local retail investors. The size of those IPOs are also relatively small compared to Superonline. For a sizable potential IPO like Superonline, the interests of international investors will also important. Therefore, foreign investor appetite to the market would be one of the criteria that we are going to consider.
Kayahan Demirak: Okay. Thank you, understood. Thank you very much for your time.
Operator:  Ladies and gentlemen, there are no more questions at this time. I would now like to turn the conference back over to Turkcell management for any closing comments. Thank you.
Murat Erkan: I would like to thank everyone who joined the conference call. I hope we are going to meet with the healthy conditions next or coming quarters. Thank you very much. Good morning and good afternoon, again.
Ali Serdar Yagci: So, ladies and gentlemen, thank you very much. This is the end of our call. Thank you all for taking the time to participate in the call.
Operator: Ladies and gentlemen, the conference is now concluded. And you may disconnect your telephone. Thank you for calling and have a pleasant evening. Goodbye.